Operator:  Welcome to the Kellogg Company 2007 fourth quarter and full year earnings call. (Operator Instructions) At this time, I will like to turn the call over to Joel Wittenberg, Kellogg Company Vice President of Investor Relations. Mr. Wittenberg, you may begin your conference.
Joel R. Wittenberg: Thank you, Lisa and good morning, everyone. Thank you for joining us for a review of our fourth quarter results and for some discussion regarding our strategy and outlook. With me here in Battle Creek are David Mackay, President and CEO; John Bryant, CFO; and Gary Pilnick, General Counsel. We must point out that certain statements made today such as projections for Kellogg Company’s future performance including earnings per share, net sales, margin, operating profit, interest expense, tax rate, cash flow, brand building, upfront costs and inflation are forward-looking statements. Actual results could be materially different from those projected. For further information concerning factors that could cause these results to differ, please refer to the second slide of this presentation as well as to our public SEC filings. A replay of today’s conference call will be available by phone through Monday evening by dialing 888-203-1112 in the U.S. and 719-457-0820 from international locations. The passcode for both numbers is 6083848. The call will also be available via webcast which will be archived for 90 days. Now let me turn it over to David.
A. D. David Mackay: Thank you, Joel and good morning, everyone. We’re pleased to report another year of strong performance by Kellogg Company. Highlights include reported sales grew 8% and internal sales rose more than 5%, in line with our 2007 guidance and above our long-term guidance driven by both price mix and volume growth. Reported operating profit rose 6% and internal operating profit rose 3%. For the first time cash flow rose above $1 billion and earnings per share rose 10% above our long-term growth target of high single-digits. We achieved these results by sticking to our business model and focusing on sustainable performance despite absorbing very high levels of commodity, fuel, energy and benefit inflation. We continue to invest in the long-term health of the business. In fact, our advertising rose at double-digits to more than $1 billion. We also benefited from a lower tax rate due to some discrete items and we reinvested that benefit back into the business. Our upfront cost investments totaled $0.18. Given our investments and excellent execution and despite a volatile commodity environment, we enter 2008 with confidence in our ability to continue to deliver strong results. Therefore, we are affirming our 2008 guidance. Now I would like to turn it over to John to take you through the financials.
John Bryant : Thanks, David and good morning, everyone. For the full year, reported sales grew 8% and 5% on an internal basis consistent with our most recent guidance. Reported operating profit rose by 6% and internal operating profit rose by 3% and full year upfront costs were $0.18 per share versus $0.14 in 2006. In addition, full year incremental commodity, fuel, energy, and benefits inflation was $0.32 per share, in line with our prior estimate. As we anticipated, fourth quarter earnings were slightly lower at $0.44 as our tax rate rose to about 34%. For the full year, earnings per share grew by 10% to $2.76, ahead of our initial and most recent guidance. This was driven by our strong operating performance, a full year 29% effective tax rate and share repurchases. Cash flow was $1.031 billion. Let’s look at these results in more detail. Slide 5 shows our net sales growth. For the full year, net sales growth was a strong 8%. Price mix was 3.3% higher due to pricing actions, continued trade spend efficiency and improved mix. Tonnage added about 2.1% and currency contributed 2.6%. For the fourth quarter, net sales growth was 8.1% and 4.7% on an internal basis. Now let’s turn to our advertising spending on slide 6. As you can see we significantly increased our advertising this year. In fact, our advertising rose above $1 billion for the first time to end the year at $1.063 billion. Not only are we spending more; we are doing it more efficiently. We have increased our presence with more targeted communications at a lower cost, allowing us to invest more into our best ideas. Going forward, we will continue to review that spending for further efficiencies. Advertising is an essential part of our business model and we have even more investment planned for 2008. Let’s turn to slide 7 to review our gross profit performance. 2007 gross profit was $5.2 billion, a $350 million or 7% increase over last year. This increased gross profit in dollars helped fund our advertising and innovation growth. As expected, our full year gross margin percent declined 44%. This was driven by significantly higher commodity inflation, which is mostly offset by cost-savings initiatives, pricing mix, lower upfront costs and operating leverage. Now, let’s turn to slide 8 for a discussion of operating profit by region. Total operating profit rose 3.1% as a result of strong sales offset by a double-digit increase in advertising and higher upfront investments. In North America, operating profit was flat due to higher input advertising and upfront investments. These additional upfront challenges reduced our operating profit growth by 2.3%. 2007 was another great year for our European business unit. Full year operating profit rose 14.2% as results were positively impacted by this year’s lower upfront investments. The lower upfront cost in 2007 increased the operating profit growth by about 3%. In Latin America, full-year internal operating profit fell 4.7% reflecting increased investment in advertising as well as high commodity inflation. Sales in Latin America continued to be strong, up 9% for the year. Finally in Asia Pacific, full year internal operating profit decreased by 9.5% or $9 million due primarily to the continued challenges in the Australian market. The rest of our Asian business units performed very well in both cereal and snacks with net sales and operating profit growing at double-digits. We indicated last quarter that about 40% of the year’s inflation would be concentrated in the fourth quarter and that was certainly the case. Below the operating profit line, net interest was approximately unchanged and our full year tax rate was about 29%. Our Manage for Cash operating principle continued to drive cash flow. Kellogg employees around the world know the importance of focusing on cash flow for 2007 to more than $1 billion. Core working capital was relatively flat as a percent of sales as favorable payables were offset by an increase in inventories due to higher input prices. As you can see on slide 10, we also put this cash to good use. We continued to utilize our cash flow for dividends and share repurchases. Over the last three years, we have returned more than $3.3 billion of cash to shareholders. We have increased our dividend per share by more than 20% since 2005, repurchased almost $2 billion of our stock and invested significantly in future growth initiatives. As you know, our board of directors has authorized a share repurchase program of another $650 million for 2008. Slide 11 summarizes our strong 2007 performance. In 2007, we absorbed another year of even greater cost inflation. We made higher upfront investments in cost savings initiatives and increased our advertising at double-digit rates. We were able to make these investments while achieving earnings per share growth of 10%. Now let’s turn to our 2008 outlook on slide 12. We remain confident in our business model. Despite even higher cost pressures, we have not changed our sales, operating profit or earnings per share guidance. This is a result of operating the business for long-term, sustainable growth. We forecast mid single digit revenue and operating profit growth given our business momentum and the recently announced price increases, as well as our efficiency in upfront investment initiatives. Our guidance now include significantly higher incremental commodity, energy, fuel and benefits inflation of more than $0.65 per share versus our earlier estimate of more than $0.40 per share. While gross profit dollars will rise, gross profit margin is expected to decline by about 100 basis points as a result of incremental input costs, a higher amount of upfront charges recorded in cost of goods and the investments in our recent acquisitions. As we discussed last quarter, total upfront investments will decline from $0.18 per share in 2007 to about $0.14 in 2008 which is more consistent with historical levels. In 2007, our tax rate lowered due to some discrete items allowing us to offset the higher upfront cost. However, for 2008 we expect the tax rate to be approximately 31%. Our 53rd week would have added about $0.05 to EPS, but these earnings will be reinvested back into the business. Below the operating profit line we expect net interest expense to be flat at just below $300 million. We expect to deliver another year of sustainable, dependable performance with high single-digit earnings per share growth of between $2.92 and $2.97 per share. While we do not give quarterly guidance, we want to provide some insight into the shape of the year. We expect a difficult comparison for the first half of 2008 given last year’s timing of various tax events, commodity price increases and our strong first half performance, as well as this year’s 53rd week. This should however result in a stronger back half. To summarize, despite the difficult and volatile commodity markets, we will continue to invest back into the business for long-term sustainable growth. Now I would like to turn it back over to David.
A. D. David Mackay: Thanks John. It’s important to view 2008 against the complex backdrop of unprecedented commodity volatility and an uncertain U.S. economic outlook. The magnitude of the commodity volatility we are experiencing is significant. In the last few months alone since our Q3 update, our estimate of 2008 commodity and energy inflation increased from more than $0.40 to an excess of $0.65. We still anticipate that second half commodities will retrench from their current levels, but we believe that commodities will generally remain on an upward trend. Despite the volatility, we remain confident in our ability to deliver another year of sustainable, dependable growth. Accordingly, we have worked aggressively to proactively manage our risk including pricing actions taken across our global portfolio, stepping up our focus on cost saving initiatives, productivity gains and SG&A optimization across our business. With these actions already in full swing, we feel confident about the year ahead. History suggests that even if the economy should weaken, our business should continue to do well as it tends to be less cyclical. Let’s turn to slide 14 to discuss our recent acquisitions. We’ve been very active but selective in our acquisitions over the last year. Although our three recent transactions are relatively small, each one provides us with an opportunity for expansion within our current portfolio, or expansion into high-growth geographic areas. We’ve added another growth engine to our Natural and Organic business with the acquisition of Bear Naked, makers of premium all-natural granolas, hot cereal and trail mixes, a solid strategic fit with Kashi. We also acquired Gardenburger, maker of a variety of vegetarian and vegan products and meat substitutes. Having Gardenburger will position our frozen foods business to further grow our presence in the frozen meals category. The Gardenburger business also provides another manufacturing facility enabling us to continue to expand our frozen business. Our emerging markets growth strategy has also moved forward significantly. In Russia, we recently announced the purchase of United Bakers Group, one of Russia’s largest cracker biscuit and breakfast cereal producers. The company has manufacturing facilities as well as a strong sales and distribution system. Combined with Kellogg’s innovation, brand-building and R&D infrastructure, UB provides us with a tremendous platform in the fast-growing Russian market. I would like to extend a warm welcome to our new employees from these exciting acquisitions. If you can turn to slide 15, we’ll discuss our 2008 innovation. In 2008, we will have sales about $2 billion from products launched in the last three years. We strive for our new product to improve the economics of our portfolio. Some of the key drivers of our innovation include portion control, healthier options, and natural alternatives. Now let’s turn to slide 16 and the internal sales growth posted by our North American businesses in the quarter. For the full year North American sales were 5% higher versus last year’s tough 8% comp. Starting on slide 17, we will review each business in more detail. We had a great quarter in North American ready-to-eat cereal. Importantly, most of our 8% growth in this quarter came from growth in base sales. Our full year sales growth was 3% and our measured channel share grew again ending above 34%. This year’s innovation was strong with good Q4 performance from Rice Krispies with Strawberries and Mini-Wheats Cinnamon Streusel. We saw a strong performance from Rice Krispies, Raisin Bran Crunch and Special K in the quarter due to effective advertising campaigns. 2008 innovations are even stronger than in 2007 including Special K Cinnamon Pecan and Frosted Flakes Gold. Also, a new All-Bran Strawberry Medley was introduced with a new ten-day challenge advertising campaign. Once again Kashi posted another great quarter with double-digit sales growth. This year’s innovation continued to perform well with particularly good performance from two varieties of Kashi granolas. We have now raised prices across much of the portfolio of Kellogg and Kashi cereal products effective January. Our Canadian business also grew full-year sales at mid single-digits with this year’s innovation of Special K Fruit & Yogurt and Rice Krispies Vanilla doing well. Slide 18 shows our full-year snacks sales rose 7%, well above our guidance and a tough year-ago comparison of 11%. Fourth quarter sales growth was 2% and as anticipated, was adversely impacted by the equity repurchases and the transition of Kashi Snack Bars and Kellogg Fruit Snacks into the DSD system at year end. Also this quarter’s growth was against last year’s tough comp of 12%. Moving Kashi Snacks and Kellogg Fruit Snacks into DSD will provide further growth opportunities in 2008. However, we expect some modest disruption in Q1. Across the snacks business, we see continued opportunities coming from portion control and on-the-go packaging innovations. In addition, we have raised prices across much of the Pop-Tarts, crackers, cookies and wholesome snack portfolios over the past month. Let’s look at more detail on slide 19. Our Pop-Tarts business posted another year of sales growth with share gains for the fourth quarter. For 2008, we have introduced whole grain varieties as well as new printed Pop-Tarts. Our cracker business had another solid year with mid single-digit sales growth and share gains during Q4. We posted strong sales from recent innovations like All Bran Crackers and double-digit growth from Wheatables, Club and Cheez-It. Our new 2008 innovations includes FlipSides pretzel crackers, and Cheez-It Deux. Our cookie business was strong in 2007 and full year sales rose at mid single-digits as we gain share. For 2008, our new innovation includes introduction of Chips Deluxe and Sandies Pecan take-along packs. These innovative break apart packs stay fresh and make the product portable. Our wholesome snack business continued to do well this year with double-digit sales growth for the fourth quarter and full year. Our 2008 Wholesome Snack innovations includes our new Special K Bliss Bars. Now let’s turn to our frozen and specialty channels business on slide 20. Frozen and specialty sales were up 6% for the full year versus a strong 8% comp last year. We achieved solid growth across our frozen and specialty business. Our frozen business continued to perform very well with full-year sales rising at high single-digits and consumption growing ahead of sales. We grew frozen breakfast share in the fourth quarter with solid growth from waffles and double-digit growth in pancakes and french toast. We had strong results in veggie foods for the quarter and full year. Like frozen breakfast, our consumption has been running ahead of sales. Again in Q4, our Kashi All-Natural frozen entrées and frozen pizzas performed ahead of our expectations. Specialty channels contributed solid growth again with mid single-digit performance for the fourth quarter and full year. Slide 21 shows that Kellogg International posted another solid year with 5% growth. Our international growth has been broad based with solid results in Europe, Asia and Latin America as you can see on slide 22. In Europe, we posted a 5% internal sales increase. We achieved solid mid single-digit growth in cereal and double-digit sales increases in snacks. In addition, we had market share gains in both cereal and snacks categories in our important UK market. In cereal, Special K, Optivita and Rice Krispies all performed well. Sales were also solid in Ireland, France, Benelux, Spain and Italy. In Latin America, we posted 9% full year sales growth versus last year’s strong 9% growth. For the full year, we achieved high single-digit growth in both cereal and snacks, and for Q4 Venezuela, Colombia, Brazil and the Caribbean all posted double-digit sales growth. Asia Pacific internal sales were about flat for the full year reflecting the difficult conditions in Australia. Excluding Australia, we achieved double-digit growth in the fourth quarter and full year across our Asia business unit. In Australia, difficult conditions continue in the snacks category and cereal remains highly competitive. For 2008, we have strong advertising and innovation plans to ensure continued international growth. In summary, we enter 2008 with momentum and exciting commercial plans. Innovation is strong globally and our focus on driving our brands remains steadfast. We remain confident and positive given the stable nature of our food portfolio and the fact that we have taken proactive steps to manage commodity inflation and mitigate risk. Initiatives include the pricing actions taken across our global portfolio; stepping up our focus on cost saving initiatives and productivity gains; and tighter SG&A management across our global business. Our focus remains on delivering sustainable and dependable growth, clearly an approach that should resonate more today than ever. Our recent acquisitions and positive progress toward geographic expansion are also a clear signal of our focus on building a stronger business for the future. We feel well positioned to continue our goal of sustainable, dependable growth. Our business model remains on track and we remain firmly committed to our company operating principles of Manage for Cash and Sustainable Growth. Finally, I would like to again welcome the new Kellogg employees and thank all Kellogg employees for their great work throughout 2007. With that, I would like to open it up for questions.
Operator: (Operator Instructions) We will start with our first person, Alexia Howard with Sanford Bernstein. Please go ahead.
Alexia Howard - Sanford Bernstein: A quick question on marketing spending -- it seems as though we now -- with advertising particularly as a percent of sales up at about 9% and that’s obviously been increasing I guess over the last few years. What is -- philosophically, I guess, what have you planned for over the next couple of years? Is the intention that it will continue to increase as a percent of sales or are you pretty comfortable with the level you’re at, given you are now well ahead of the rest of the packaged food group?
A. D. David Mackay: Alexia, if we look at our consumer support by advertising and consumer promotion, we are around the 12% mark, which is very strong for our business. But you know, as we think about it, we will continue to increase certainly at a rate consistent with sales growth and if we find more opportunities and have the flexibility and great ideas to invest behind to strengthen our brand equities, then we’ll look to do that as well.
Alexia Howard - Sanford Bernstein: Great. Thank you very much.
Operator: Our next question comes from Chris Growe with Stifel Nicolaus. Please go ahead.
Chris Growe - Stifel Nicolaus: I have a question for you regarding the up-front costs and the cost savings. Clearly you are in a new paradigm here for input costs. Could you talk about -- I’m not sure you really have ever given us sort of in some general numbers what level of cost savings you are going to have coming through this year in 2008 to help the lumpy effect of these input cost increases?
John A. Bryant: Chris, if you look at the up-front costs, our long-term guidance is to get a pay-back within five years of those up-front costs and we’ve been executing them now for some years, so clearly there is a flow on benefit coming through the P&L. The issue, of course, is the size of those savings is relatively modest compared to the size of the inflation that we’re facing, so it’s not having a cumulative impact. It’s just helping us each year as part of our broader productivity initiatives as part of a mix to help offset that inflation.
Chris Growe - Stifel Nicolaus: So it sounds like it’s stepping up this year, given this environment?
John A. Bryant: No, I think what we said is we’d have about $0.14 cents of up-front costs in this year, $0.18 last year obviously will help us in the 2008 year.
Chris Growe - Stifel Nicolaus: I just want to ask one other question that’s just relative to the cereal category. In measuring it through IRI, it looks like the merchandising activity has been down a little bit and there’s been little surges here and there, but do you anticipate that for 2008 I guess as a means of getting the price increases through, we’ll see overall merchandising activity down?
A. D. David Mackay: You know, Chris, if you look at the merchandising in the latest quarter or year-to-date, it’s actually up slightly. And it’s a category that I think is a bit of a destination category for our trading partners, so I think merchandising will play an ongoing and positive component of how we and others drive consumers to the category. And innovation clearly plays a very big role in that. I would expect it to stay positive. Whether it will increase dramatically is very hard to say.
Chris Growe - Stifel Nicolaus: Okay. Thank you.
Operator: Our next question comes from Terry Bivens with Bear Stearns.
Terry Bivens - Bear Stearns: A couple of quick things on Cereal; Dave, could you give us the number for what the price increase was on U.S. cereal across the line?
A. D. David Mackay: Low-single-digits, Terry. I mean really, we took broad-based global pricing across the portfolio and it was anywhere from low- to mid-single-digits globally and in U.S. cereal, it was low-single-digit. And that’s been announced and I think is in play in January.
Terry Bivens - Bear Stearns: Okay. Did you ship any of your ’08 cereal innovation in the fourth quarter or have you been able to more or less keep all of that in the first quarter?
A. D. David Mackay: I think we started shipping Special K Cinnamon Pecan the last week of the year. The interesting thing though is as we have tracked inventories Q4 to Q1, we’re actually coming into 2008 with a lower inventory level than we’ve had for the last two or three years, so we feel very positive about that.
Terry Bivens - Bear Stearns: Okay, and just lastly, I guess General Mills, according to them they are pretty much through with the right size, right price. What is you evaluation on that? It seems to have been pretty much of a positive for the category from my perspective. Is that the way you are looking at it?
A. D. David Mackay: Well, I mean, you’d have to ask them specifically how they feel but as we look at our performance in cereal in the fourth quarter, we grew in IRI 4%. The category was actually up 1.2%, but the category number is probably, in our view, about 4% if you take in all channels. The cereal category had the strongest growth for the year in the fourth quarter comparable to 2006 and we grew significantly above the category and actually gained nine-tenths of a share, so certainly we’re very happy with our performance. I think the category is doing very well. I wouldn’t like to comment on anything else.
Terry Bivens - Bear Stearns: Understood. Thanks a lot.
Operator: Our next question comes from David Driscoll with Citigroup.
David Driscoll - Citigroup : Great. Thanks a lot. Good morning, everyone. David, I wanted to ask your opinion on the big macro environment here. There’s all these concerns about economic slowdown. Do you expect to see a volume pick-up from people changing their behavior from food away from home to food at home? Have you seen anything in the fourth quarter? Would you expect to see anything in 2008? And then just on the whole volume picture, of the mid-single-digit, I would assume that volume embedded in that particular guidance is relatively small and that most of it is pricing. Is that correct?
A. D. David Mackay: First on the last, I think the mix of price mix to volume will skew more to price mix than it did in ’07 because of the levels of pricing. We’ll still have some volume growth but it will be predominantly price mix. On the economy, speaking specifically to our business because there’s a lot of other things going on that are in the press that probably won’t have an impact on us, we look at the company and the categories we’re in. We’re less cyclical. We’ve looked back in the history when we’ve had slowdowns or recessions in the U.S. and really our business has performed pretty well through those periods. The business is currently very strong. We have strong momentum and we have great confidence as we look at the future. And it’s very hard to really read what will happen but -- so all we’ve done is look at history and we feel pretty good about where we are.
David Driscoll - Citigroup : Great. Thanks a lot.
Operator: Our next question comes from Jonathan Feeney with Wachovia Securities.
Jonathan Feeney - Wachovia Securities : Good morning and thank you. Here once again you’ve maintained guidance while absorbing another $0.25 upward revision in commodity cost pressure and clearly I think productivity in savings are helping you do that. So does that mean without all this commodity pressure, if we ever get a break on that you’d be in a position to raise numbers? As part of that, do we ever get to a point where cost inflation is so pervasive with your competitors in private label that you just ask retailers and consumers to absorb all these cost increases as opposed to maybe you dipping into your own productivity to do it?
A. D. David Mackay: Jonathan, I’d love to be in a situation where we had that problem. We are currently not --
Jonathan Feeney - Wachovia Securities : There’s always hope for the future.
A. D. David Mackay: Yeah, there’s hope for the -- I mean, we have taken broad-based pricing actions. We’re driving efficiency. We’re driving mix. We’re driving productivity. And that’s really helped us with the $0.65 plus commodity impact for 2008. When you look at our pricing, it is broadly offsetting the bulk of the inflation for 2008 and we feel pretty good about that, given the strength of our brand equities, the level of our innovation, and the support we intend to continue putting behind our brands as we go forward.
Jonathan Feeney - Wachovia Securities : And is there any -- let me simplify that -- has the pricing environment among your competitors and just from what you are hearing from the trade about not just your category but others, improved, maintained itself or gotten tougher over the past quarter?
A. D. David Mackay: I think everyone is feeling these inflationary pressures. It may not be exactly equal across businesses depending on the segments you’re in, but I think everyone is feeling a lot of inflationary pressure as we go forward. And you know, a lot of categories have taken price -- I can’t really speak for exactly what’s happened outside of our own categories -- where we have broadly taken price across very category in which we compete globally.
Jonathan Feeney - Wachovia Securities : Okay. Thank you very much.
Operator: (Operator Instructions) We’ll take our next question from David Palmer with UBS.
David Palmer - UBS: I’ll follow up on this issue of pricing and the difference perhaps between retailer pushback and how you monitor consumer decisions. The duration and the magnitude of inflation I guess has reached new extremes and it seems like the retailers are accepting the pricing from what we’ve heard and competitors and even retailer brands are going up with you guys in certain key categories. But how are you going to think about and how concerned are you about the consumer trade-down? For instance, I think retailer brands maybe gained a little share in ’07, something like 30 basis points in the measure that I saw for ’07. Maybe you have a different number, but is there risk that that becomes more pronounced and even within your portfolio that people might trade down from your better margin products to perhaps something of a lesser margin? Thanks.
A. D. David Mackay: David, I think we do look at all of our competitors. As you look at 2007 and private label performance, as we saw in 2005 in the fourth quarter and for the full year, in fourth quarter 72% and for the full year, 68% of the growth that was achieved in private label came from two retailers. And typically what we have seen is that if retailers want to push that particular part of their business, then we could see disproportionate growth. In the current environment, we don’t think that that’s going to be excessive. We feel pretty good about where we are, given the strength of our brand equities and the level of investment we can continue to put behind them.
David Palmer - UBS: Okay. Thanks very much.
Operator: Our next question comes from Timothy Ramey with D.A. Davidson.
Timothy Ramey - D.A. Davidson & Co. : Good morning. I just wanted to get a little more color on the $0.65 and also the view that that moderates some in the second half of the year. Can you give us any breakdown in terms of which commodities are driving that and also why you would view the second half relief as possible?
A. D. David Mackay: We’re not going to get into specifics but we do believe that we’ll see some commodity costs retrench in the second half. A few reasons for that -- one is comp, comparisons to the second half of ’06; and the second is while we can’t control the weather or the crops, most experts expect some reductions in some crops versus the current highs. We’ve taken I think a very pragmatic view on commodities and tried to reflect what we think they’ll do and we have baked high numbers -- much higher numbers, as you can see -- into that expectation but the markets remain very volatile. I think most importantly on this is we’ve demonstrated our ability to manage this volatility should it occur and that’s why we feel very comfortable in affirming our guidance for 2008.
Timothy Ramey - D.A. Davidson & Co. : Can you break it between at least energy and food, or is there anymore detail you can offer there?
A. D. David Mackay: Not at this point, no.
Operator: (Operator Instructions) Our next question comes from Pablo Zuanic with J.P. Morgan.
Pablo Zuanic - J.P. Morgan : Good morning, everyone. I guess, David, I want to go back to the whole idea of resizing. I mean, based on store surveys, which are always limited in size but I calculate that General Mills has about 47%, 50% of the cereal SKUs or boxes below $2.50. And then I look at your portfolio, and I only found about 5% of your boxes that are $2.50. Do those numbers ring a bell? Do they seem correct and is that an issue?
A. D. David Mackay: They don’t ring a bell. The numbers we’ve got would indicate on average that we’re around mid-3s and now slightly above this, but I’m not sure what stores you went to. All I’d do is again reiterate that I think that we’re through that big initiative through the fourth quarter and in IRI, we grew 4%, we gained nine-tenths of a share, our base business was actually up very strongly, and the category actually had the strongest quarter it’s had for 2007. So it’s a very, very good situation for the category, for us, and hopefully for our competitors.
Pablo Zuanic - J.P. Morgan : And just to follow-up, when I look at crackers and cookies and again, here I am perhaps oversimplifying but I see from the Kraft side an apparent ramp-up in terms of advertising on their brands, Oreo cookies and on the cracker side. And on your side, I don’t necessarily see the ramp-up on advertising on biscuits but definitely a lot of innovation around packaging formats. Obviously you think that’s the right way to go but can you explain why? I mean, it seems that they are a lot more aggressive on advertising and you are just more focused on product innovation, on formats around [Club] and Townhouse.
A. D. David Mackay: Well, I think again, if you look at the results we delivered in cookies and crackers, we did very, very well in the fourth quarter and for the year. Our innovation seems to be working. On the go, not only for ourselves but for the whole category has been a huge positive and is driving a big chunk of the growth. We think that will continue as we go forward and we are trying to capitalize on that. And our levels of brand building support remain relatively consistent year-on-year, so I don’t -- I don’t know how else to react but that we are very comfortable with where we are. We continue to grow share and we continue to perform pretty well across both cookies and crackers.
Pablo Zuanic - J.P. Morgan : One last one, if I may, just regarding Russia; can you give us some color in terms of how the category there has been growing for cereal and biscuits in the past few years? And what type of market share does the company you bought you have there?
A. D. David Mackay: You know, the company we bought, United Bakers, is about $100 million in sales. I think it’s a market leader in two of the three. The categories there in general terms have been growing high-single or double-digit. We think while there’s a lot of opportunity for us to improve that business, there’s huge upside and as a platform for growth in an exciting market, we’re just delighted with that acquisition and you’ll hear more about it as we go forward.
Pablo Zuanic - J.P. Morgan : And before that, you were exporting your -- you have a distributor or how was your business there?
A. D. David Mackay: Pablo, we were tiny.
Pablo Zuanic - J.P. Morgan : Okay. Thank you.
Operator: Our next question comes from Eric Katzman with Deutsche Banc.
Eric Katzman - Deutsche Banc: Good morning, everybody. I’m going to switch the focus here a little bit to kind of capital structure and cash flow. You guys have done just a fabulous job in terms of generating cash flow. I think you have one of the highest free cash flow yields. The debt markets are right now, given what the fed’s been doing, very cheap, especially for a credit like yours. The board authorizes $650 million in share repo, which is equal to the last few years yet earnings are much higher, the stock’s been under pressure -- why wouldn’t you give a little bit more, assuming that -- you know, our DCF work suggests that the stock is under-valued and I’m sure yours does. Why wouldn’t you be pushing the board to put more money into share repo?
John A. Bryant: Great question. I think certainly the cash to the company was very strong in 2007 and we continue to see improvement in things like conversion cycles and so on from a capital perspective. As we go forward, the $650 million authorization is still in place. If you look back over the last three years, Eric, almost all the cash the company has generated has gone back to shareholders, whether it be in the form of a dividend or a share buy-back. Net debt position has been flat and in fact, absolute debt has been growing a bit over the last couple of years. So I feel pretty good about the capital structure. I think it’s a balanced use of cash. I think the share price is attractive but I think that where we are from a capital structure, it’s a good place to be.
Eric Katzman - Deutsche Banc: Okay. If I could just ask one quick follow-up; I don’t want to pin you down too much but how much on the top line this coming year should come from acquisitions roughly with all the three that you’ve named so far? Is it 1%? Is it more like 2% plus, just to kind of get a sense?
John A. Bryant: It’s a good question, Eric, and what we said, what we are giving guidance on here is internal sales growth of mid-single-digits. You’d probably add just under two points to that to get to the impact of acquisitions.
Eric Katzman - Deutsche Banc: Okay. Thank you.
Operator: Our next question comes from Andrew Lazar with Lehman Brothers.
Andrew Lazar - Lehman Brothers : In looking at the contribution over the last couple of quarters or more to your top line from price mix, it sort of seems like it’s been decelerating as we’ve gone through the year, including the quarter you just reported. And I know you just obviously took pricing effective January but I’m trying to get a sense of why wouldn’t I be seeing more of that come through, even in the last couple of quarters?
John A. Bryant: I think a part of that, Andrew, has to do with the phasing of 2006. If you go back and look at 2006, our price mix ramped up through the back half of the year, so Q4 2006 was actually our highest priced mix of 5.4% for the quarter. So part of it is just the comparatives across ’07 versus ’06.
Andrew Lazar - Lehman Brothers : Okay. And is it fair to say that you and obviously a lot of others have been kind of behind the curve more dramatically -- the cost curve, that is -- with respect to pricing? Are some of the initiatives that you’ve taken around pricing in January across the portfolio designed to get you a lot close to covering and/or maybe completely covering the cost increases that you see going through the year? And you are obviously being pretty conservative in your assumptions on costs.
A. D. David Mackay: I think it would be fair to say that we were probably lagging. If you look at ’06 and ’07, a lot of that is because of the volatility and uncertainty of were commodities actually going to stay high and stay on that potential high or upward trajectory. I think our view is and has been probably for the last year that that’s the case and when you look at 2008, with that high level of commodity inflation we have been able to offset the bulk of it with broad-based global pricing across the portfolio or about low to mid single-digit. So we do not offset it all, but we offset the bulk of it. I think the point is yes we have replaced price more to reflect where commodities are, because we don’t believe that they are going to suddenly dropped moving into the out years.
Operator:  Our next question comes from Kenneth Zaslow - BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets: When you think about your recovery rates from the pricing increase relative to the commodity costs, are there certain regions or products where you feel like you are getting a greater recovery rate? What products would you think that you are not getting is high recovery rate? Can you just expand on the products?
A. D. David Mackay:  All I’d say Ken is we don’t price just to recover in a particular business unit. Some of the commodities may impact on a particular area of business unit to a greater extent than the globe, but we did take broad-based. I think what we have done is probably the right approach to try and recoup lot of those costs. Like last year in Latin American when corn went through the roof and that portfolio is more corn-based, our pricing was relatively consistent, maybe a tad higher, and we got through that. You saw the impact on profit in Latin America but we are going into a new year now where that’s more stable -- at a high level, but it’s more stable.
Kenneth Zaslow - BMO Capital Markets: Are you finding that your ability to pass on costs in Europe versus the U.S. is any different or is it similar? Are there regions besides Latin America where the consumers are either accepting it or not accepting as well? Or is it just globally the exact same reaction across consumers?
John Bryant:  I think certainly we are seeing inflation globally and I think Europe is seeing theirs ramp-up as we look at 2008. But that’s been true globally. I think pricing is being taken by many, many companies across the board in all sorts of markets. We have seen in Europe even in hard discounted markets like Germany where private label has gone up 10% for the first time in a number of years, the consumer reaction – no one likes higher prices, but I think it is the only way to manage our business effectively given these high commodity prices is to regain some of it to go forward.
Operator:  Our next question comes from Robert Moskow - Credit Suisse.
Robert Moskow - Credit Suisse: You mentioned cost savings from your upfront charges but aren’t there other layers of cost savings and other projects that you have internally that go beyond those upfront charges? is there any way to help us quantify what those savings could be? Secondly, I wanted to ask you about pension expense because in our modeling we saw a pretty big pickup in pension expense starting in 2009. Are you making a contribution to your pension fund and is that helping you offset 2009 increases? Thank you.
John Bryant: On both of those questions, firstly on productivity you’re absolutely right, there is much to our productivity program than the upfront cost. I’d say that we target around a 3% productivity improvement. So, that helps to offset the commodity inflation that we’re seeing out there. Then on benefits expense to your point, benefits expense will actually be down 2008 versus 2007. So when we give guidance, the commodity benefits, energy, etcetera are up in excess of $0.65 that’s actually netting off within there the good news on benefits expense. So benefits will be down $0.06 or $0.07 because of the higher discount rate that’s out there. That $0.65 is net of that good news. On pension contributions, we did make a small pension contribution at the end of 2007, but as a company we are pretty well funded across our various plans.
Robert Moskow - Credit Suisse: John, have you modeled out 2009? I mean maybe this is just the intricacies of pension forecasting and my models don’t match yours, but have you taken a look at it? Whether those benefits continue in ‘09?
John Bryant: It’s hard to get there because you have got to see what 2008 market returns are versus your actual return assumption and so on. So, there is quite a bit of volatility in there, but if I could have a forecast for 2009 discount rates maybe I can get there, but that’s a very hard thing to forecast from where we are today.
Operator:  Your next question comes from Linda Donnelly - Franklin Management.
Linda Donnelly - Franklin Management : Could you give us some guidance on what you anticipate for capital expenditures in ‘08 and depreciation and amortization?
John Bryant:  I would expect capital expenditures to be around 4% of sales, ballpark of around $500 million. On depreciation and amortization similar to this year around $380 million.
Linda Donnelly - Franklin Management : Do you have a number yet you can give us for your R&D expense for ‘07?
John Bryant:  No, I think we will have that in the 10-K. I think it will be in the same sort of ballpark, maybe up slightly from 2006.
Operator:  Your next question comes from Vincent Andrews - Morgan Stanley.
Vincent Andrews - Morgan Stanley: I know it’s a small part of your business, but it’s a part of your business that isn’t performing well. Has there been any change in the margin around the issues in Australia, good or bad or indifferent?
A. D. David Mackay:  Australia didn’t have a good year. The snacks category while it continues to be down, we did see in the last month or two of 2007 a slight improvement. We would hope that through the course of 2008 that the category itself can outperform and will start to come back to more normal levels. The other thing impacting us there was CPW acquired Uncle Toby’s. They have ratcheted up the level of competitive intensity there and that has had an impact on our cereal business as well.
Operator:  Your next question comes from Todd Duvick - Banc of America.
Todd Duvick - Banc of America : I just wanted to ask a quick capital structure question. You’ve got quite a bit of short-term debt and you do have a note that is coming due I believe this June. I was wondering if you could tell us if you plan to refinance any or all of that in the capital markets?
John Bryant:  We will certainly be looking at that. As you say, we have about $1.5 billion of commercial paper. We have a credit facility of around $2.2 billion and we have a maturity of around $500 million coming in. Depending upon the conditions in the market and how the curve looks, we’ll look at whether we refinance that or how we take that going forward.
Todd Duvick - Banc of America : Just back on the share repurchase program, you just plan to buy back shares opportunistically, not considering anything like an accelerated share repurchase program?
John Bryant:  At this stage our plan is to buy back the $650 million which has been authorized by the board.
Operator: Gentlemen there are no further questions at this time. I would like to turn the conference back over to you for any additional or closing remarks.
Joel R. Wittenberg: Thank you very much everybody for tuning in. if there are any questions please call in.